Operator: Please standby, we are about to begin. Good day. And welcome to the GATX 2021 Fourth Quarter Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Ms. Shari Hellerman, Director of Investor Relations. Please go ahead.
Shari Hellerman: Thank you, Jen. Good morning, everyone. And thank you for joining GATX’s fourth quarter and 2021 year-end earnings conference call. I’m joined today by Brian Kenney, President and CEO; Tom Ellman, Executive Vice President and CFO; and Bob Lyons, Executive Vice President and President of Rail North America. Please note that some of the information you’ll hear during our discussion today will consists of forward-looking statements. Actual results or trends could differ materially from those statements or forecasts. For more information, please refer to the risk factors included in our earnings release and those discussed in GATX’s 2020 Form 10-K and 2021 Form 10-Q. GATX assumes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. I will provide a quick overview of our 2021 fourth quarter and full year results and then Brian will provide additional comments on 2021, as well as our outlook for 2022. After that we will open the call up for questions. Earlier today GATX reported 2021 fourth quarter net income from continuing operations of $61 million or $1.69 per diluted share. It compares to 2020 fourth quarter net income from continuing operations of $17.8 million or $0.50 per diluted share. The 2021 fourth quarter results include a net positive impact of $4 million or $0.11 per diluted share related to Tax Adjustments and Other Items. For the full year 2021 GATX reported net income from continuing operations of $143.1 million or $3.98 per diluted share. This compares to net income from continuing operations of $150.2 million or $4.24 per diluted share in 2020. The 2021 and 2020 full-year results include net negative impacts of $1.08 per diluted share and $0.35 per diluted share, respectively, associated with various Tax Adjustments and Other Items. These items are detailed on page 13 of our earnings release. Total 2021 investment volume was $1.1 billion, as we continue to find attractive opportunities to invest in our businesses across the globe. Additionally, in 2021, GATX repurchased about 131,000 shares for approximately $13 million. As of December 31, 2021, we have approximately $137 million remaining under our existing repurchase authorization. Lastly, as noted in the earnings release, we currently expect 2022 earnings to be in the range of $5.50 per diluted share to $5.80 per diluted share. With that, I will now turn the call over to Brian.
Brian Kenney: Yeah. Thanks, Shari. Good morning, everyone. As Shari said, I’ll give you some brief color on our 2021 performance, but more importantly, get to some more detail underpinning our 2022 guidance. So let me get started. Shari gave you the numbers, so I won’t repeat them here, but I will say that, we increasingly outperformed our expectations as we move through the year. That was especially true in Rail North America. As you saw in the press release, absolute lease rates have increased now for six consecutive quarters and that drove our lease pricing index to be virtually flat in the quarter at negative 0.7%. But I’ll give you more on where we think lease pricing is going in 2022 in just a minute. So the pricing strength was different by solid demand, it’s driven by our diversified fleet composition and was driven by excellent execution by our commercial team. As the year progressed, they took more risk, they push the lease rates harder and they succeeded, and they enjoyed high lease renewals success, which drove lower fleet churn than we expected coming into the year and combined with lower railroad repairs and our ongoing efforts to drive more repairs into our own network, we thus experienced much lower maintenance costs than we originally expected. The last factor to talk about for 2021 around North America was high asset values, not only that the railcars that we sold in the secondary market realize the values that we originally planned, but continued high scrap prices also drove strap gains for 2021 as well. So it was a very strong year for Rail North America versus our expectations and the team really did take advantage of an improving market. Turning to International Rail, we expected a significant increase in profitability in 2021 and they delivered -- they increased their segment profit by over $21 million from 2020. That was about a 25% increase. That performance was driven by continuing strong underlying markets and increasing earnings from the significant investments that we’ve made over the last few years. In addition, they didn’t have to deal with the foreign exchange headwinds that they dealt with in 2020. Within Portfolio Management, profit in our Rolls-Royce and Partners Finance joint ventures was down $40 million from the prior year, but that was just as we anticipated, and that JV continues to operate in a difficult market for long-haul air travel and the drop in segment profit was driven by much lower asset remarketing gains relative to the prior year. Concerning our acquisition of Trifleet, our tank container leasing business, they too outperformed our expectations. Worldwide tank container market strengthened throughout the year. As you might remember, we originally expected Trifleet to be $0.10 dilutive to earnings in 2021 and that was due to the accounting associated with purchase price holdbacks and retention agreements in connection with the acquisition. But Trifleet actually ended up 2021 being slightly accreted. So, in summary, 2021 showed very strong financial performance versus our expectations really across our businesses. Before I close the discussion on 2021, I want to point out, as Shari indicated, we invested over a $1 billion again in 2021. Now $360 million of that total was for railcar deliveries that we were obligated to take coming into the year, that’s from our committed supply agreements around North America. But that means we were able to close over $770 million of other proactive investment opportunities in 2021 with our customers. And that was accomplished despite asset prices steadily increasing throughout the year, and from my perspective, that’s extraordinary performance by the team. As I said in the last earnings call, it’s getting tough to economically justify speculative investment due to the extremely high asset prices present in today’s market, so to close that level of investment in 2021, our team had to secure the customers in advance, they had to have them commit to higher lease rates, and in many cases, longer lease terms, all in order to amortize that increase in asset costs. And their success in doing so is why these investments be attractive financially to us despite the higher costs. So it points to a couple of things, but the success is a sign that not only does our team has strong customer relationships. It’s also a sign that there’s good demand for our new assets across our market. So, a really good job by the team to secure that level of investment and still maintained our investment discipline. So let me turn to the 2022 outlook. I’ll start by saying that we enjoy a strong balance sheet, excellent access to capital, continued favorable market conditions in our growing International Rail businesses, and for the first time in years, the market for our largest business Rail North America seems to have turned the corner and has recovered to the point that the GATX fleet can experience some pricing leverage, so some detail on that point. As you know, Rail North America has been operating in a market with an oversupply situation for years, really since crude by rail boom collapsed in early 2015. Over the last two years, you’ve heard us say that this market is gradually recovering and that was due to natural industry fleet attrition. So it’s spurred by the combination of reduced railcar manufacturing output, combined with the scrapping of older cars. So for a fleet as well constructed and as well diversified as the GATX fleet, we think that market conditions have recovered to the point that we expect to see on average positive lease rate changes upon renewal in 2022. In fact, we currently expect our lease price index to show a positive 5% to 15% change this year. So that’s a noteworthy development, as last time, we saw a positive change in the lease pricing index for a full year was in 2015. We also anticipate continued higher renewal success, slightly lower utilization this year, with a net effect of all these factors being that we expect a small revenue increase for Rail North America versus last year. Looking at net maintenance expense, it’s been a good news story. We’ve outperformed our expectations for this the last three years. In 2021 we continue to aggressively move more work from third-party facilities into our own network and thus we realize lower than expected cost. But with over 90% of our tank car and covered hopper maintenance events have now being performed in our own network, further efficiency gains from that strategy will slow in 2022. And with the labor disruptions we’re currently seeing from COVID waves and the inflationary pressures on material costs, we currently expect we’ll be doing well to have net maintenance expense be relatively flat in 2022. The last factor I want to discuss for Rail North America is asset disposition income. Secondary market for railcar sales in 2021 was very strong. As we said, and as expected, we realize much higher gains on asset dispositions versus the prior year. And asset prices remain high and investor appetite is strong and that’s due to the widespread access to low cost capital. And high scrap steel prices are -- we’ll expect another strong year for asset gains in Rail North America. In fact, I’d say, we anticipate a level similar to or somewhat higher than 2021 as we continue to optimize our fleet. So, as always, if the secondary market changes, we’ll change our disposition plans and will act economically. So the net effect of all this is that we expect 2022 segment profit of Rail North America to be up in the $15 million to $25 million range from 2021. Let me move International Rail and I’ll start with GATX Rail Europe. As we’ve discussed in recent years, the European rail wagon leasing market remains as robust as we’ve seen since we entered the market in the early 1990s and we expect that favorable markets continue and we’re investing more into that market. And in 2022, we anticipate adding more than 1,400 wagons at attractive lease rates, all while continuing to realize small renewal rate increases on the existing fleet. So that combination of new investment and strong performance on the existing fleet is expected to result in an increase in Rail Europe’s profit of $4 million to $6 million in 2022. And Rail India, their 2021 fleet growth, as you know, was curtailed yet again by a manufacturing shutdown due to another COVID wave in the spring of last year. That risk obviously still remains, but absent another COVID shutdown, we anticipate significant growth in our Indian fleet this year, currently expected to add over 1,200 wagons to our fleet in 2022. They also continue to diversify their car types, their customer mix and their growth is expected to increase their profit in the range of $3 million to $5 million this year. So, combined with GATX Rail Europe, that means the expected segment profit growth for Rail International in total is expected to be in that $7 million to $11 million range in 2022. So our Portfolio Management, as I said earlier, the RRPF joint venture, that’s our partnership with Rolls-Royce continues to be hampered by the reduction in long-haul global air travel. Honestly, we’ve given up trying to estimate the timing of full recovery of air travel, because it appears to be so dependent on the ebbs and flows of the pandemic. But we strongly believe in the ultimate recovery of that market. So in the meantime, we’ll continue to focus on improving the JC -- JV’s performance and finding attractive investment opportunities, such as the $350 million in direct engine investments that GATX made in 2021. So, in 2022, we expect lower segment profit of $5 million to $7 million in Portfolio Management and that’s due primarily to lower asset remarketing activity at RRPF. And lastly, at Trifleet, as I said, the tank container leasing market improved throughout 2021 and remained strong as we enter 2022. We did increase Trifleet’s investment in that business due to the strong market combined with GATX’s more efficient access to low cost capital. And thus -- and I also think we’re just starting to realize the customer synergies we anticipated before we purchased that business and we currently expect Trifleet profit to increase in the $2 million to $3 million range in 2022. Quickly, SG&A and other corporate costs, we are experiencing the same cost pressures that everyone is experiencing these days related to employee wage inflation, but also due to some growth related headcount at Rail International. But that should be offset by some 2021 corporate costs that won’t occur again this year. So right now we expect the SG&A and corporate costs will be essentially flat in 2022. The last item is our tax rate. It’s projected to be a point or two lower this year due to some tax adjustments in 2021 that should not reoccur this year. The net effect of the increase in segment profit, flat SG&A and corporate costs and a slightly lower tax rate and the assumption of resume share repurchase in 2022 results in our expectation that earnings per share will be in the range of $5.50 per diluted share to $5.80 per diluted share this year. Again, all of this assumes no significant COVID-related disruptions again in 2022. I want to close by reminding you that, as always, 2022 will mark our 104th consecutive year of paying a dividend, a track record that very few can match. The GATX Board meets this Friday. They will discuss our 2022 plans for the dividend. So we’ll announce that decision at that time. Obviously, the Board understands the importance of the dividends and I think our century long streak is a great example of our long-term record of success and commitment to our shareholders. So, once again, I want to stress that GATX employees execute our plan very well yet again in 2021 and I’m really confident that between the investments we are making and the expectation that our largest business, we will see positive revenue trends for the first time in over six years, that will continue to reward our shareholders confidence in us for years to come. So that’s all I had. Operator, you can open it up to questions.
Operator: Thank you. [Operator Instructions] And we’ll go first to Allison Poliniak with Wells Fargo.
Allison Poliniak: Thanks. Hey. On, I guess, the LPI, obviously, positive direction here. Could you maybe give a little color in terms of, obviously, absolute lease rates are going to be renewing higher than what’s being renewed. But relative to what you guys view as normal? Could you give us any like perspective, it’s kind of where we are with that at this point?
Bob Lyons: Allison, it is. Bob. I’m happy to take that question for you. As Brian mentioned in his opening comments, for the sixth consecutive quarter, we saw absolute lease rates move up. And as we look into 2022, with regards to the LPI, we have, for the first time in a very long time, both elements working in our favor, which is the average expiring rate is actually ticking down a little bit and the average expected renewal rate is going up. So that puts us in that positive 5% to 15% range. Where we are with regards to normalized long run lease rates, particularly with regards to the tank car fleet we’re getting closer to that equilibrium line, still some to go and the variability in freight is typically much higher than it is in tank, but all signs moving in the right direction.
Allison Poliniak: Great. And Brian, I want to go back to a comment you gave with some of your color and outlook. You mentioned the high renewal rate, obviously, positive lease rate, but you said the renewal -- the lease rate renewal is going to be lower. Meaning, I guess, your percentage, I know it’s been high the past two quarters. I guess any thoughts there and why you’re thinking that? And then on top of that, maintenance flat, if that was going to be lower, I thought that would be higher, those just cars that are getting retired at this point, just any thoughts on that?
Brian Kenney: Well, what I said was, renewal success would be similar in 2022. I did say, we might have a slight drop in fleet utilization. Honestly, the only way it can go down when you’re at 99.2%. So it could be a slight drop there. But we expect similar renewal success in 2022 as we had in 2021. On the maintenance side, Bob, did you want to?
Bob Lyons: Sure. I think a couple things going on on the maintenance side, and again, to reiterate what Brian said in his opening comments, overall, we expect the net maintenance line to be relatively flat with where we were in 2021. So we are facing some pressures with regards to both labor rates, material costs, many of the things that other folks in our industry are -- in all industries are facing. We will be able to hold the line overall in costs because a lot of -- because of the number of efficiencies that we’ve been able to realize, the number of cars we’re running through our own network relative to where we were in years past. So we’re essentially offsetting some of those macro pressures with the things we’ve been able to do in our network over the course of the last few years.
Allison Poliniak: Understood. Thank you.
Operator: We’ll go next to Justin Long with Stephens.
Justin Long: Thanks and good morning. I wanted to circle back to Allison’s question about absolute lease rates. Are you able to share the percent increase that we saw in the fourth quarter in absolute lease rates? And then circling back to the assumption on remarketing income, just because that’s something that can swing results around so significantly in North America, any color you can give us on the cadence quarterly of that remarketing income that we should expect in 2022?
Bob Lyons: Sure. Justin, it is Bob. I’ll take the first one. With regards to absolute lease rates between third quarter and fourth quarter, tank and freight combined, you’re looking at a number about 7% or 8% sequential increase. And again, what’s most powerful there is that, six quarters in a row with a positive number in front of it. That’s what it takes in this industry is consistent performance like that overall to turn rates and turn the tide and we’re definitely seeing that.
Brian Kenney: With regards to remarketing income, always difficult to predict quarter-to-quarter, just because of the way timing of transactions work, the number of transactions we have in the secondary market. Where we sit today, I think, we’ll get the year off to a pretty good start in the first quarter and second quarter. So it may be a little bit more weighted towards the front end, but again, always hard to predict.
Justin Long: Understood. And secondly, I wanted to follow-up on capital allocation, and Brian, you alluded to the over $1 billion investment in each of the last two years. Any thoughts around what that number could look like in 2022 just based on what you’re seeing in the market and valuations and maybe you could touch on buybacks as well. It sounds like we’re restarting things on that front, so curious how much that’s factored into the guidance?
Brian Kenney: Yeah. What we currently see in the market in terms of investment opportunities and this would not necessarily be speculative investment. I think we can have another $1 dollar year in 2022, Justin. And as I said, we’ve been able to realize without doing a speculative, we’ve had customers lined up in advance and we’ve been able to do that, especially Rail North America, in fact, I think, Rail North America in 2021 had over $200 million outside of their committed supply agreement that they closed -- that they arranged in customer investment. So, and we didn’t take a spec position in those cars. So they’re doing a really nice job identifying those opportunities. It’s also a sign of some strength in the underlying market. So I think we can do a $1 billion again this year. On the share repurchase side, Tom, do you want to?
Tom Ellman: Yeah. So just to reiterate what both Shari and Brian talked about, we have $137 million remaining on our authorization from the Board and we purchased about $13 million worth of stock in 2021. As Brian indicated in his openings, we’re able to find considerable amounts of attractive investment and we expect to be able to continue to do so going forward as evidenced by the $1 billion number Brian just talked about. But it is something where in 2021 we repurchase the stock on volatile trading days and we would look to continue to do that going forward. Our capital allocation framework always calls for us to prioritize those investment opportunities and we consistently talk with our Board of Directors about stock buyback decisions. In terms of our guidance, we have over the last few years purchased anywhere between zero dollars of buyback and $150 million, and the range that we’ve provided allow us for being somewhere within that historical framework.
Justin Long: Okay. That’s helpful. I appreciate the time.
Operator: We’ll go next to Matt Elkott with Cowen.
Matt Elkott: Good morning. Thank you.
Brian Kenney: Hi, Matt.
Matt Elkott: Good to see the average terms go up to its highest in two years. I think it’s still on the lower side relative to previous recoveries. My question is guys, given the continued rates trend over the last six quarters, do you think terms could keep rising throughout this year? And any insights on where we could end the year, are we -- could we be well into the 40 a month range would be appreciated?
Bob Lyons: Sure. Matt, it is Bob. We will hesitate to put a number on that, because it also can move around from quarter-to-quarter. I mean, 2021, it moved anywhere from 29 months up to 37 month, as you saw in the fourth quarter. Now anytime you have a renewal success rate close to 90% and you have lease rates going, finally, in the right direction, in certain car types, we will push term. But broadly speaking, we’re still in the phase where we’re really trying to focus more attention on making sure we’re getting rates up to the right level and then we’ll concentrate more on term. But with a fleet as diverse as ours, there are certainly pockets of car types where we’re already trying to stretch those terms out.
Matt Elkott: Okay. That’s very helpful, Bob. A year and a half into this recovery, is it looking like, does it feel like a prolonged recovery, your earnings cycle kind of lag the actual recovery on lease rates? So that -- is this starting to feel more like a multiyear earnings recovery to you guys?
Bob Lyons: Right. It does and I -- and the feeling of this recovery, quite frankly, is better than ones we’ve felt before, because when you look back to 2013 or 2014 or even the mid-2000s, some of the accelerant in the market, the spikes that we saw and incredible demand for very small pockets of car types, the crude boom, what have you. They’re real beneficial in the short-term, but long-term, they can cause some damage. And this recovery seems very different, more fundamental, and I think, hopefully, we’ll have much longer -- much more legs to it than prior ones.
Matt Elkott: Okay. And then, I think, Brian mentioned that the segment profit for Rail North America should be up in the $15 million to $20 million range if I got it correctly? And you guys are not expect -- you’re expecting gains to be in line or slightly up from this year. So, I guess, the $15 million to $20 million improvement is mostly from lease rate improvement, as well as cost controls based on your assumptions?
Brian Kenney: Yeah. I think that’s a fair assessment, Matt.
Matt Elkott: Okay. And just one last question, if I could, can you guys remind us of your existing supply agreements with manufacturers and what needs to happen this year for you guys to consider significant manufacturing orders or have orders become somewhat of a necessity at this point, in order to be able to serve your customers, given the near full utilization you have?
Brian Kenney: Sure. We have two supply agreements totaling 3,000 cars a year. That runs through the end of 2023. So we’re very well covered on the supply agreements. And just for reference, currently, the nearest available supply agreement availability is in the third quarter of 2022. So our commercial team has done a real nice job of placing those cars well in advance of when they’re scheduled to deliver. And no real comment yet, Matt, on where we’ll go with the supply agreement post-2023. We’ll be looking at that as the year progresses. It’s important for us to have a supply agreement in place for a base load, particularly on the tank car side, but no determination has been made yet on extension beyond 2023.
Matt Elkott: Got it. Thank you very much.
Operator: We’ll go next to Bascome Majors with Susquehanna.
Bascome Majors: Yeah. I want to follow-up on the earlier question about term versus rate. Can you talk about how you structure your sales incentives for 2022 in North American Rail to balance those and is there any historic corollary of, if you look back at year X or year Y, will look a lot like restructured those for this year? Thank you.
Bob Lyons: Bascome, it’s Bob. I’ll take that question for you. I won’t get into a tremendous amount of detail rather than to tell you our sales incentive plans provide with regards to our commercial organization the flexibility to adjust on an annual basis. So we can drive towards the outcome we want. In very difficult times, obviously, we focus on utilization and when the market is really strong, we focus on trying to make sure our sales folks are incentivized to get term. We’re fairly early on in the process here of finally getting some leverage with regards to lease rates. So I think we’re in the early innings of that type of recovery. Not one yet where you would be going very, very hard on term, as I mentioned earlier, certainly pockets of car types, that’s possible. But, overall, it’s really much more right now our focus is on trying to move those rates up consistent with what others in the market are doing and we will lead the effort there. So, we’ll have our sales force aligned accordingly. I’m sorry and you -- I think you had a second question.
Bascome Majors: No…
Brian Kenney: I think you’ve addressed it, Bob.
Bob Lyons: Okay.
Bascome Majors: To your other comments about the investment volume, hopefully, being another $1 billion year, you kind of made some directional comments about North American Rail in that response. It’s been a while since you’ve grown that fleet at least in unit terms, could this be a year where that happens if the investments do manifest as it for?
Bob Lyons: Yeah. I think, overall, where we look today, the secondary market has been so strong the last couple years, that there’s been some, I’d say, above normal sales activities in 2021, and likely, again, in 2022. And again, I want to be very clear about the fact that we are not chasing a car count. That can be a dangerous pursuit and we’ve seen over the years some other folks in the industry who’ve gone that route. You can always add cars, but can you do it economically, that’s the most important factor we’re looking at. So I wouldn’t rule out the possibility that next fleet growth could occur in 2022. But in the end, we’re going to do the right thing, Bascome, in terms of adding cars and in terms of optimizing the portfolio. We have massive scale in this business and whether the fleet 113,000 cars or 112,500 or 114,000, is less of a concern to me than generating the best possible return out of that portfolio. Thanks for that, Bob. And if I could ask one more, I know you don’t take over as CEO for another three months here and you’ve been with the company for a long time. The company’s remarkably consistent over a very long time. But is there anything that we should expect to see emphasize or focused on a little more under your leadership? If you could just give a preview of where your head is? I think that would be helpful. Thanks.
Bob Lyons: Sure. And I appreciate the question. As you noted, I’ve worked at GATX for 25 years and the management team has been together here a very long time. I’ve had the benefit of working side-by-side with Brian for that 25 years. A lot of the strategies that you’ve seen in place and you’ve seen deployed here at GATX over those years, particularly the last 17 years under Brian’s leadership, I’ve been involved in a lot of those decisions, extremely supportive of the direction and the philosophy that we deploy. So I wouldn’t endeavor to make any significant substantial changes in the way we think about how we deploy capital or the strength in the markets that we have. I am a firm believer in GATX is at its best. We’re in long live widely used assets with a service component and where we have asset knowledge that’s truly unique. That won’t change and you’re going to continue to see that, you’re going to continue to see us try to leverage the expertise in the markets we have and to do so more broadly and globally.
Bascome Majors: Thank you.
Operator: [Operator Instructions] And we’ll go next to Justin Bergner with Gabelli Funds.
Justin Bergner: Good morning, Brian. Good morning, Bob. Congratulations on the appointment. Good morning, Tom. Good morning, Shari.
Shari Hellerman: Good morning.
Brian Kenney: Good morning.
Bob Lyons: Good morning.
Justin Bergner: Just to start, a couple quick, just detail oriented questions. There appeared to be a good chunk of other income in both Rail North America and Rail International in the fourth quarter. What was in that? Well, that re-curves at one-time?
Tom Ellman: Yeah. So I will take that. So in Rail North America, the primary uptick you saw was due to some insurance proceeds that came from a storm at one of our service centers and that was described on, it was one of the items described on page 13 of the press release that Shari mentioned. In Rail International, there’s really the key driver there was what Brian mentioned about some of the FX issues we had between those Lahti and the euro last year, that didn’t occur this year. And we also had some savings in our deal ratio expenses this year versus last year.
Justin Bergner: Okay. And then maybe a second, somewhat detail question, within RRPF, I mean, the absolute profit was still strong in the fourth quarter, I assume there are some asset gains in that number and are you expecting asset gains to continue in the joint venture as you look into 2022.
Tom Ellman: So, as Brian mentioned in his opening comments, we would expect next year, maybe to see a little bit less in terms of some of those gains relative to this year. As far as how the quarter went, the big driver of the uptick in earnings from affiliates at Portfolio Management was due to gains in the second -- gains on asset remarketing and residual realization.
Justin Bergner: Okay. And then, as you look at your gains on asset disposition outlook for 2022. Should I expect sort of it will look fairly similar in terms of the split between gains on scrappage and gains on rail cars sold or do you expect it to tilt even more towards scrappage versus sales of rail cars?
Bob Lyons: Yeah. So one thing to keep in mind is that, when it comes to scrap prices, it’s really difficult to predict the rail industry as a whole, it is not really a key driver of what happens there. But as far as a baseline expectation, assuming something similar to this year is a reasonable assumption, but that scrap price can move around quite a bit.
Justin Bergner: Okay. Thank you. And then, just lastly, should I be surprised that the guidance for other and sort of Trifleet they’re in is not for more than a $2 million to $3 million increase looking into 2022? I mean, are you continue to experience [Technical Difficulty] that’s fall into the P&L or how should I think about that $2 million, $3 million increase?
Brian Kenney: Yeah. I can take that. Justin, it’s Brian. It is a healthy increase. Remember, the size of this business is actually pretty small. They have around $30 million in revenue and that, in 2021, about $10 million in segment profit. So you think about it like a 20% increase.
Justin Bergner: Okay. That’s helpful. Thank you.
Operator: And at this time, there are no further questions. I’ll turn the call back to Shari Hellerman for closing remarks.
Shari Hellerman: I’d like to thank everyone for their participation on the call this morning. Please contact me with any follow-up questions. Thank you.
Operator: This does conclude today’s conference. We thank you for your participation.